Operator: Good day ladies and gentlemen, and welcome to the RioCan Real Estate Investment Trust Third Quarter 2023 Conference Call and Webcast. As a reminder, this conference call is being recorded.  I would like to turn the conference over to Ms. Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary. Ms. Suess, you may begin. 
Jennifer Suess : Thank you and good morning everyone. I'm Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary of RioCan. Before we begin, I am required to read the following cautionary statement.  In talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements concerning RioCan's objective, its strategies to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates and intentions, and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements.  In discussing our financial and operating performance and in responding to your questions, we will also be referencing certain financial measures that are not generally accepted accounting principle measures, GAAP, under IFRS. These measures do not have any standardized definition prescribed by IFRS and are therefore unlikely to be comparable to similar measures presented by other reporting issuers.  Non-GAAP measures should not be considered as alternatives to net earnings or comparable metrics determined in accordance with IFRS as indicators of RioCan's performance, liquidity, cash flows and profitability. RioCan's management uses these measures to aid in assessing the Trust's underlying core performance and provides these additional measures so that investors may do the same.  Additional information on the material risks that could impact our actual results and the estimates and assumptions we applied in making these forward-looking statements, together with details on our use of non-GAAP financial measures, can be found in the financial statements for the period ended September 30, 2023, and management's discussion and analysis related thereto as applicable, together with RioCan's most recent annual information form that are all available on our website and at www.cedar.com.  I will now turn the call over to our President and CEO, Jonathan Gitlin. 
Jonathan Gitlin : Thanks so much, Jennifer, and thanks to everyone that has joined RioCan's senior management team today. RioCan's Q3 operating results again reflect the excellence with which we are executing our strategy. However, because I know it's on the top of mind for many of you, I'm going to start today by addressing our guidance.  I expect, due to interest rates, RioCan will end the year at the lower end of our 2023 guidance range of between $1.77 and $1.80. Our long-range targets will need to be revisited if higher for longer interest rates persist, and we're going to provide an update on this in the first quarter of 2024.  I'll now turn to our Q3 operating results, and then I'm going to touch on the macroeconomic environment. I'll highlight how RioCan continues to strategically and responsibly manage every facet of our business over which we have control.  Consistent with each successive quarter since our February 2022 Investor Day, RioCan's team and portfolio have performed exceptionally well. This performance reflects the quality of our locations and the cycle-tested experience of RioCan's team. Once again, RioCan's superior property fundamentals and the extensive demand for our space drove standout leasing spreads and record occupancy.  Our development deliveries also continued to generate a steady stream of new and diversified NOI. Our key financial indicators for the quarter were strong, with same property NOI growth of 3.7%, exceeding our target and providing the foundation for FFO per unit growth. FFO per unit for the quarter was $0.45.  Leasing velocity remained a dominant theme as RioCan's high-quality, necessity-based retail portfolio propelled results. Retail committed occupancy reached an all-time high of 98.3%. New and renewal leasing spreads of 21% and 11.2% respectively, resulted in a blended leasing spread of 12.9%.  The average rent per square foot for new deals was $27.02, well above the average net rent for the portfolio of $21.39. We believe this expanding mark-to-market spread indicates a significant growth opportunity as an increasing number of contractual fixed-rate renewals start to burn off.  You've heard me speak about Canada's tight Zoning Regulations and the vast gap between replacement costs and market values, which makes building new retail a very unlikely proposition.  You've also heard me reference the pace of Canada's population growth and the natural gravitation to transit-oriented major market locations to live and to shop. These are the same markets in which retail space is supply-constrained, and also the same markets in which RioCan's portfolio is concentrated. In addition, our retail tenants are displaying health and strength, particularly in this inflationary environment. These factors converge, and they drive demand and create positive tension in lease negotiations for our brick-and-mortar spaces.  All indicators are that the type of space RioCan offers will continue to be in short supply and high demand. But our operating results are rooted in factors far more deep-seated than favorable supply-demand dynamics. RioCan's current strength and stability are a function of years of unwavering discipline and responsibly managing every aspect of our business, over which we have control.  This focus has resulted in a portfolio and team designed to thrive in promising economic conditions and to deliver strength and stability in downturns. This means we face the current conditions with confidence and here's why. RioCan's portfolio has never been more desirable or more defensive. Our major market focus has resulted in a portfolio that's concentrated in densely populated areas.  Within a 5 kilometer radius of our assets, the average population is 260,000 people with a high average household income of $140,000. This demographic profile provides a compelling opportunity for our retail tenants. The quality of RioCan's tenant base has improved in lockstep with the – and the improvements in our portfolio's demographic profile.  Combined with our commitment to resilient retail, the result of the tenant base tailored to offer a mix of convenience and necessity-based goods. We've also invested in our centers to make them even more attractive to tenants and to our customers. The steps we've taken over the last decade and the effective execution of our strategic plan has set up RioCan to weather the current environment.  However, we're not a team known for simply weathering. We're a team that wins and we understand that winning in these conditions requires hyper vigilant discipline in capital allocation. Specifically reducing costs associated with traditional expenditures such as G&A, construction and acquisitions.  RioCan hires for grit and we reward resilience. We encourage creative problem-solving, courageous leadership, and continuous innovation. We're well equipped to take the logical and prudent steps required to offset some of the impact of interest rates and to fortify our future. We're increasingly leveraging our national scale to reduce operating costs. We're also driving costs down through system improvements that generate efficiency and allow us to streamline expenses.  This includes the 2024 implementation of a new [inaudible] based ERP system. Regarding development, we're adding value by moving projects through the entitlement process, but we're taking a conservative stance in activating capital-intensive construction. At the same time, we continue to focus on strengthening our balance sheet.  Dennis will expand on the levers through which we'll do this, but for now, I'll emphasize that the 2,605 condominium and townhouse units we currently have under construction are expected to generate combined sales revenue of over $800 million between now and 2026. These proceeds are earmarked for effective uses, including the repayment of debt.  Last, in addition to the cost control and responsible balance sheet measures I just referenced, we will continue to take advantage of every revenue driving opportunity presented by the current operating environment.  I'll take a few moments to talk about The Well. I do this for two reasons. First, this project is emblematic of everything I just spoke about, namely RioCan's ability to effectively manage every aspect of our business over which we have control, while at the same time investing in our future growth. This project demonstrates our resilience, ability to execute, commitment to intelligent diversification, customer centrism, responsible growth, and our ever-present balance of boldness and prudence. There is no more excellent reflection of RioCan's boldness than the vision and scale of this project. Our prudence is reflected in countless ways, but perhaps none as much as the patience and responsibility we and our partners at Allied demonstrated as we leased this project while in the throes of a global pandemic.  We remain steadfast in our commitment to populate this incredible development with the right mix of innovative, experiential, and service-oriented retailers and inspired food service offerings that Toronto has been waiting for.  Approximately 96% of the total commercial space at The Well has leased, with about 89% in tenant possession. The retail component is 91% leased, with another 2% in late-stage negotiations. On this subject, I'm pleased to announce that Lululemon and Sephora, have recently signed leases and will join The Well's impressive tenant roster.  There's also been exceptional demand at 450 The Well, the 592-unit rental residential tower developed by RioCan with our partner, Woodbourne. Beyond The Well offering obvious proof points of all that RioCan is capable of, I have a second reason for wanting to focus on this project right now.  RioCan and our partner, Allied Properties, are on the precipice of introducing the King West community, the GTA and the world to one of the most ambitious mix-use developments in Canadian history. By every measure, this is an outstanding architectural achievement and the accolades we're receiving have fortified our belief that this is precisely the right product for Toronto.  Momentum continues to build for our mid-November ribbon-cutting ceremony and you'll continue to see a cascade of relevant businesses open at The Well in the coming months. The majority of retailers are expected to be open by the end of 2023. On behalf of the incredible team at RioCan, it's an honor to deliver this development. We are confident our vision, passion and expertise will be reflected in all ways. The Well is experienced in the weeks, months and years to come.  Before I turn the call over to Dennis, I'm going to reiterate that RioCan's long-term thesis remains very much intact. Retail real estate dynamics are in our favor and are producing meaningful demand drivers for our product. The fundamental quality of our assets fuels long-term growth and mitigates downside risk.  Who knows if interest rates will move up, down or stabilize? What I do know is that at times like these, RioCan is fortunate to be operating a best-in-class retail portfolio in the major markets of this great country. RioCan is well positioned regardless of the scenario. We've taken significant steps to make our business viable in any backdrop. We're now in a moment where these steps are being tested and I'm proud to say, we're standing up to that test.  If interest rates stay higher for longer, it may temper our growth in the short term, but real estate is a long-term investment. Our consistency, vision and demonstrated commitment to responsible growth will continue to serve our unit holders well and at the same time, position the Trust for continued stability.  With that, I'm happy to turn the call over to Dennis. 
Dennis Blasutti : Thank you, Jonathan, and good morning everyone. Our FFO for the quarter was $0.45 compared to $0.44 in the same quarter last year. The key components of this increase were $0.02 from our 3.7% commercial same property NOI growth. On a year-to-date basis, same property NOI growth was 4.3%. This included the benefit of reversing pandemic-related provisions as our team continues to work through legacy balances with tenants.  Excluding the provision, year-to-date same property NOI growth was 3.3% and remains on track to achieve our full-year target of 3%. Same property NOI has benefited from a number of factors, including a notable improvement of 70 basis points in in-place occupancy as tenants signed in prior quarters have moved in.  Other contributors were $0.02 from development deliveries, including The Well office and the ramp-up of residential rental assets, such as our Luma and Rythm properties in Ottawa. These were partially offset by $0.02 due to higher interest rates in the current year as compared to the prior year, and $0.01 due to assets sold in the prior year net of the accretive impact of a prior year unit buybacks. We have recycled capital from assets sold into higher quality investments and developments, as well as used the proceeds to pay down debt. We believe that this short-term dilution in FFO is well worth it for the long-term benefits of quality, value improvement, medium to long-term FFO growth, and balance sheet strength.  Net income for the quarter was a loss of $73.5 million, which was driven by a fair value loss of $199.5 million. Excluding this unrealized loss, our business delivered strong operating income. The fair value loss was driven by a 10 basis point increase in our weighted average capitalization rate assumption, partially offset by a three basis point decrease due to change in portfolio mix as we sold lower quality assets and redeployed that capital into higher growth assets, a continuation of a trend that we have seen over the last number of years.  The fair value losses from the change in cap rate assumptions were partially offset by $46.3 million of fair value gains driven by higher income at our properties. Again, a continuation of a trend over the last number of quarters, where the operating results that are in our control are adding to the value of our portfolio.  Development deliveries continue to aid portfolio quality and income growth. In the quarter, we delivered 151,000 square feet and remain on track to deliver over 600,000 square feet of new product this year. That will contribute approximately $25 million of NOI upon stabilization, which will ramp up over the coming year. The majority of deliveries in the quarter related to retail and residential components of The Well, where leasing is very strong. With respect to development spend, we expect to be towards the lower end of our guidance range of $400 million to $450 million for the current year and anticipate this amount will be substantially lower in 2024. While we do not plan to start construction on new projects in the near term, we will continue to create value through the development process by advancing our pipeline through zoning to shovel-ready status. To that end, we recently received zoning for the 83 Bloor Street project in Toronto's prestigious Yorkville neighborhood. This is a location where we combined our existing retail assets with a partner who owns neighbouring assets, to create a land parcel of the scale required to redevelop. The plan for this site is an 80-storey premium condominium tower that will include a commercial podium of approximately 18,000 square feet.  In addition to our large-scale developments, which tend to get most of the attention, we also have more immediate infill opportunities at our retail centres. For example, in the quarter we delivered a 16,000 square foot retail strip at our Winfield Farms Retail Centre that includes Service Canada as a tenant. We are currently constructing two additional strips that include tenants such as PetSmart and CIBC.  Winfield Farms is a prime example of a high-demand GTA location that RioCan developed from a Greenfield site. Today, it comprises approximately 175,000 square feet of open-air, grocery-anchored retail, three condo towers, including two currently under construction, and 406 townhomes.  A community such as this creates significant demand and the rents that motivate RioCan to build this space. We are seeing these types of opportunities in a number of existing locations with approximately 160,000 square feet of retail properties under development expected to be delivered between now and the end of 2024.  While individually these projects are relatively small, we see these as good opportunities to deploy capital. We will, of course, remain disciplined and ensure we achieve the rents that support the construction costs.  In spite of the challenging retail transaction market, our team has continued to source opportunities to recycle capital in ways that continuously improve our portfolio quality. This requires discipline, as well as the ability to source special situations.  So far this year, we have closed 140.2 million of asset dispositions. This included an enclosed centre in Winnipeg and a cinema anchor centre in Gatineau, Quebec that were completed in the last month. We also have a firm disposition for a cinema and home improvement anchor centre in DC at a capitalization of 4.99%, which is expected to close in December and is expected to bring $155 million of capital.  The capital from closed and firm dispositions totals $295.2 million at a cap rate of 6.92%, which is similar to our incremental cost of debt on our corporate credit facilities. So these dispositions will be FFO neutral, while being credit positive.  Year-to-date, we have acquired $110 million of assets, including a residential asset in Montreal and certain land assembly assets. These acquisitions included the assumption of $45 million of debt at a weighted average contractual interest rate of 2.67% with eight years of remaining term. Taken together, the equity for these acquisitions was $65 million, leaving the remaining proceeds from asset sales for debt reduction.  As you can see, our capital recycling strategy continues to improve our portfolio quality, growth potential and balance sheet, while the attributes of the in-place debt within the acquisitions ensures that our economic return targets can be achieved.  Our balance sheet continues to be a top priority. Our net debt to EBITDA at the end of the quarter was 9.45x compared to 9.51x at the beginning of the year. We expect this to decrease further by the end of the year as we close the aforementioned dispositions.  Net debt to EBITDA is expected to continue to improve in 2024 as the EBITDA from our development deliveries ramps up and the spend on these developments decreases, most notably at The Well, where the spend rate will reduce significantly after the first quarter of 2024.  We managed risk in this environment by having a maturity ladder that is well staggered and having fixed interest rates for over 92% of our debt. Our strong liquidity position is very important, particularly within an uncertain economic environment. We have $1.6 billion of available liquidity, predominantly in the form of undrawn operating credit lines and construction lines, with the committed lines spread across a number of banks.  Our liquidity is sufficient to cover over a year's worth of obligations, inclusive of debt maturities and construction capital. Debt capital remains available for top-tier borrowers like RioCan. We completed $300 million of unsecured debentures in the third quarter. These were three-year debentures with a call feature that allows us to repay the debentures at par and without penalty after one year.  In light of the uncertain rate environment going forward, we paid a small premium for this flexibility. We believe that bolstering liquidity while maintaining optionality for a small portion of our debt stack is appropriate. We are currently in the process of finalizing agreements for certain commercial mortgages and a CMHC mortgage that we expect to close by the end of the year.  In this time of turbulence, we will continue to be judicious with our unit holder's capital, balancing short-term tactics and long-term strategy. Our portfolio continues to produce strong operating results as the fundamentals of top-quality retail real estate in Canada are among the best we've ever seen. We remain focused on what is under our control, while continuing to strengthen our portfolio, and position RioCan for accelerated growth as the market stabilizes.  With that, I will hand over the call to the operator for questions. 
Operator: [Operator Instructions]. The first question is from the line of Dean Wilkinson with CIBC. Your line is now open. 
Dean Wilkinson : Thank you and good morning. This is probably going to be the first of quite a few questions. Good morning, guys. This is probably going to be the first of a few questions on the guidance, John.  Obviously, interest rate environment is ridiculously volatile. What's happened over the past couple of days has put kind of the five and the 10 year in Canada back to where you were in August. Pulling that guidance or pushing it out to 2024, is that -- when we look back to the August figure, were you guys contemplating a lower rate environment or if we were to stay around here, do you think that the numbers that you had previously mentioned would likely hold or is it just too early to say on that?
Jonathan Gitlin : I think it is, like we're all getting whiplash from the interest rate fluctuations. And what I will say is that we're going to wait till Q1 and provide more appropriate updated guidance at that point. And we'll have, I think a little more color in where the, sort of the medium term interest rates will be at that time. So we will definitely look to provide more color. 
Dennis Blasutti: Yeah, I think Dean, I think it's important [inaudible] that in a higher for longer rate environment, it does make the longer term guidance a challenge. And I think the challenge right now is we've seen 50 basis points move over the last month. I think its 75 basis points a month before that in the 10 year, and the range of estimates for the end of 2024 from various bank economists is about 100 basis points wide. So it's really hard to pin down any kind of guidance at the moment. But we are in our budget cycle now, working through that, and we'll provide that updated information. 
Dean Wilkinson : Yeah, fair enough. I mean, it's incredibly volatile. I guess dovetailing into that, when I mean, your pens down or perhaps shovels down on new construction, what would you have to see to kind of have you sort of flipping the switch on that? Is it higher development yields or is it just a lower cost of variable rate debt that you have to finance that with?
Jonathan Gitlin: I think it is a combination of both of those factors and a few others. As with everything, it's a capital allocation decision, so it's not just how good the returns are or not in the construction space, but it's also what the returns are on other potential uses of capital, including paying down debt, which in this environment is very accretive, and other things like potential acquisitions, doing meds financing, things like that.  So it would be a combination of elements that would lead us back into aggressive construction, but we have all the tools to do it, and one thing that we are always cognizant of is being able to jump the moment we see that the conditions are right and that it is the right capital allocation decision.
Dean Wilkinson : Okay, that makes sense. And the last one for me, I mean, dovetails into just your target leverage metrics, more specifically terming out that debt. So how do you guys think about taking that three and a quarter year term out to five, just given what we've just been talking about, interest rate side? Will that be a drag or could that be a target that might be -- maybe pushed out a little farther just given what the interest rate expense looks like if you were to go longer right now? 
Dennis Blasutti: Yeah, I think it is something that probably is going to get pushed out a little farther from our target of getting there by 2026, simply because of the tactics that we've done over the last 18 months or so. We had some, I would say, gaps in our ladder in the shorter term that we thought we were comfortable with the amount of debt in those given years, and so we used that kind of part of the ladder to do some of our more unsecured debentures, to keep advancing that mix.  And where we've seen advantages from a pricing perspective on CMHC mortgages and commercial mortgages that today are probably 80 to 100 basis points inside of the debenture pricing, that's where we've gone wrong. So we've sort of barbelled into it as opposed to what we were doing in sort of late ‘21, which is just off guide of seven to 10, so that's what we've guided.  It probably takes a little bit longer to get there, but I think as Jonathan pointed out earlier, we are deploying some tactics right now until we can see a bit of stability, and then the longer term strategy hasn't changed. 
Dean Wilkinson : Perfect. That's it for me. I'll hand it back. Thanks guys. 
Jonathan Gitlin: Thanks, Dean. 
Operator: Thank you for your question. The next question is from the line of Lorne Kalmar with Desjardins. Your line is now open. 
Lorne Kalmar : Thanks. Good morning, everyone. Maybe just sort of going back to the discussion around pulling back on developments, you guys obviously are continuing to move things through the zoning process. You have a very robust pipeline. Has there been any thoughts of doing any density sales as a consequence, assuming you get pretty low yields on that and could then recycle it back into debt reduction? 
Jonathan Gitlin: So just to clarify, we're pulling back on construction, not development, which means that we continue to move the needle forward on getting properties entitled, getting them free of tenant obligations and things of that nature so that they are shovel ready. So it's construction that we're pulling back on.  And I would say that we are always looking at ways to raise efficient and effective capital. And we've done so. We've demonstrated this over the course of the last few years. I think we've been very active in the disposition market, whether its income producing assets or development density, and that hasn't changed.  I would say that that market is slower now than it would have been a year ago, Lorne. And we are in the, I would say in the very fortunate position, given the amount of money we have coming in from condo sales or inventory sales over the next couple of years, our balance sheet is going in the right direction. We have enough to fund whatever construction we do have in the ground through just retained earnings and site specific financing. So we really don't have a tremendous amount of pressure to need to raise capital.  So if there is an opportunity in today's market where we can extract a lot of value for that density, sure, we'll jump on it, because that's what we do. We're entrepreneurial and we'll always do things where we feel is an effective way to raise capital. But given where the current market is, which I'd say is, while interest rates are fluctuating the way they are, there's a bit of a slowdown I'd say in the land market.  So I don't think we would be active in trying to sell that today. But I think that like everything changes quickly and we'll, of course, be ready as we always are, to extract the most value out of our assets as possible whether that's developing them ourselves, selling a partial interest to partners and then getting fees from it or just selling it outright. 
Lorne Kalmar : Okay, yeah, I guess things could change by Monday, who knows. On the condos, I mean I think we spoke about this before and I know they are well located in good markets. But with everything that's been going on, I think it's still worthwhile asking. Has there been any sort of change in terms of people pulling out of the condo deals and issues with closings or are you guys still pretty confident in being able to achieve what you've set out? 
Jonathan Gitlin: We're confident for a couple of reasons. One, the sales that we did were a number of years ago. A lot of these condos are now in late stages of development, meaning that the sales were done in the teens, and that means that even though market values have dissipated a little bit, the values in which people have bought into these are still, I would say, above water.  Secondly, we always were very careful to get sizable deposits and meaningful deposits and I think people are low to walk away from you know generally 20% deposits. And third people are generally also not inclined to walk away from their contractual obligations, because it puts you in a situation of legal liability.  But that being said, we are in unique times where people can afford what they can afford, and if they can't afford to close on these units, which again I think is a very remote circumstance. RioCan's in the fortunate position where we have RioCan living and if these units happen to come back to us, if any parts of these units come back to us, we're well suited to deal with them and to extract value from them. But because of the three conditions I spoke about at the outset of answering this question Lorne, I do really think that that is a remote circumstance and yes, we are still confident in the in the ability to get that revenue in. 
Lorne Kalmar : Okay, and just lastly for me, you guys, a new record high on occupancy. I think it was 21% on new leases. How high do you guys think you can push spreads before you can't anymore? 
Jonathan Gitlin: Well, look, I think that we're in a really good environment now and I can't reiterate this enough Lorne. There is no supply of new retail in major markets. We've got -- we and a few others have what I would say is really a goldmine of income producing assets. And look, tenants -- in certain circumstances tenants are doing very well in this inflationary environment. They are protecting their margins and therefore there is the ability to pay the rents that are necessary for our properties.  There's always going to be that affordability quotient, but we keep on getting new, and I'd say thriving businesses coming into Canada, and that has created an upward push for our space. And like I said, given that there's no new space coming on stream, we feel pretty good about the continuous prospects of raising the revenue coming out of our income producing properties. I would also say that there are -- there's a lot of ingenuity at RioCan and I'm very proud of the team for continuously coming up with ancillary revenue methodologies that continues to also add to that bottom line. So between the two of those things, I think we've got a pretty steady growth profile.  I won't be a total -- like I'm always an optimist, but I don't think like 20%, 21% new leasing spreads are here forever. But we are certainly in an environment where I think that we are going to see certainly the target we set out in our 2022 Investor Day of high single digital leasing spreads. I really think that that is an enduring target and that we can achieve that.  I don't know, Oliver, if you have any further commentary on the market these days. All right, well he said it all. 
Lorne Kalmar : Thanks Jonathan, really appreciate it. 
Jonathan Gitlin: No problem. Take care. 
Operator: Thank you for your question. Next question is from the line of Sam Damiani with TD Cowen's you like is now open.
Sam Damiani: Thanks very much and maybe I'll try and get Oliver to answer a question here. What are you guys seeing in terms of watch list tenants or if you have any known tenant departures that you think are going to happen of any consequence in the next few months or a couple of quarters?
Dennis Blasutti: I'll start, and then John or Oliver can fill in any gaps. I leave, and hey Sam, I hope you're doing. So we are actually in really good shape. We've worked very hard to get our tenant base, the categories of strong and stable tenants up to a very high level, and they are at 87%. I mean means that the number of tenants on our watch list is actually similar to what it was last quarter, which is pretty small.  There's some small independent tenants that have called us about some rents that they are having trouble paying, but we're working with them. And the hope is that we will be able to right those. But typically, if they are not capable of maintaining their businesses, the good news is that we've got a lot of factual prospects for them.  But really, there's not a significant amount of softness right now. A couple of categories should the economy, continue to see challenges. There's always going to be categories that will have issues in that kind of environment. But right now, we're seeing general strength across our portfolio.  John or Oliver, if you have anything to add. 
Oliver Harrison: Yeah, I would. Hey, Sam. I would just add, there are a couple of categories we are keeping a close eye on. Sit-down restaurants, particularly more the Mom-and-Pop or independent operators. You read reports in the news about their ability to operate at a profit, which I think the most recent report is about 35% of restaurant operators on the independent basis are operating out of profit, so that is something we keep an eye on.  Our restaurants are predominately national players, where we feel good about their covenants. I would add more boutique gyms. We are hearing great things out of the GoodLife and the LA Fitness. We are keeping an eye on the smaller operators and furniture as well as discretionary income becomes a little more channeled with what’s going on in the economy. People are spending less on their homes and on renovations. So we are keeping an eye. Again, we are very few -- on the independent side, the covenants of our national players are strong, but always an area of concern. 
Jonathan Gitlin: Yeah and we do have – Sam, specific to your question, we do have some larger vacancies coming up in the portfolio over the next few quarters. Fortunately at the moment we have demand that exceeds the availability of what is coming back, and if we use an example of the entire space we got back in Ottawa early this year, which was a 140,000 square foot purpose built building which we leased the day after Canadian Tire left.  So we are always going to get the space back. It’s the nature of the business, but we are in the best position we’ve every been to drive rent and improve quality of tenants when those places become available to us. 
Sam Damiani: Speaking of the Canadian Tire space or former Canadian Tire space, when you mentioned boutique gyms, John, just wondering, you're still obviously comfortable with the tenant that's going into that space? 
Jonathan Gitlin: Absolutely. The quality of the service they provide. I had the pleasure of being at their Liberty Village location about a month ago. I also know that they’ve done a new location at [inaudible]. We are very happy with the covenant and we are very happy with the product they produce. 
Sam Damiani: Great. Next question for me is just on the condo side with the sale of the interest in 11YV. Why don't you just tell us a little bit of what the rationale was for doing that at this stage? 
Oliver Harrison: Yeah, hi Sam. I think one of the things that comes with condo sales is usually it can get a bit lumpy and we have a lot of sales lining up in 2025. And so, both in terms of kind of getting a steadier income stream, but also managing any kind of tax disclosures, etc., we thought it was prudent to do a transaction to pull some of that forward. It takes some proportion of construction loan off our credit metrics as well. So all-in-all, we thought it was a good mechanism to effectively securitize those future gains and bring them forward into the current year. 
Jonathan Gitlin: And we have an enthusiastic counterparty who was very much inclined to do it. 
Oliver Harrison: Right.
Lorne Kalmar : Yeah, it certainly looked like you didn't give up any profit by doing so. It didn’t look like it anyway. And then on the distribution increase, obviously a nice 6% bump this past year with all the uncertainty and pending guidance in February. Does your thought about an increase next year, is it any less than it would have been a year ago? 
Dean Wilkinson : The decision our board makes, but the recommendation does come from management. And the one thing we always monitor is our payout ratio. And at times like this, you're quite right, Sam. It's more meaningful than ever to have retained earnings, because retained earnings are really the cheapest form of capital you can get.  But that being said, we are going to be – we think we will be well within our comfort level on our payout ratio. And if we are, we would like to continue that upward momentum of consistent distribution increases. So provided we can afford to do so, it is something that we will continue to advocate for. But again, like everything, it's so volatile today. So we'll revisit that decision at the end of this year when we have a little more clarity on how 2024 is going to look. 
Sam Damiani: Thank you, and I'll turn it back.
Jonathan Gitlin: Thanks, Sam. 
Operator: Thank you for your question. The next question is from the line of Matt Kornack with National Bank Financial. Your line is now open. 
Matt Kornack: Hi, guys. I'll keep it brief, because I'm new to the recovering the story. But just with regards to RioCan Living, the federal and some provincial governments have been very active in putting out policy that would encourage the building of new rental product, notwithstanding challenging capital markets. Does that change your kind of longer term view on how much you'd potentially do in adding kind of very necessary new apartment rental supply to the market? 
Jonathan Gitlin: Yeah. So first of all, Matt, welcome back to RioCan. Good to have you. Second of all, I think the initiatives that the federal and provincial governments are taking are incredible steps, and they are certainly something that will impact our long term ability of delivering very good purpose built multi-res buildings.  It's something that is still very much part of our long term strategy. It's something that we are currently benefiting from with the delivery of some of those developments. And I think it's something that this country sorely needs, because I think we are in a bit of a housing crisis. So it's definitely something that we will be focusing on, and the initiatives that the governments have taken will help with our prospects.  Right now, as I said, it's just not an extremely prudent time to allocate a tremendous amount of capital, but that to me is a short term view. And I think it will improve partly because of some of these initiatives the government is taking over the next little while. Andrew, do you have any further commentary on that?
Andrew Duncan: No. The only thing I'd add, John, I agree with everything you said, obviously is that the changes to HST at a federal and in some cases at a provincial level, has defiantly helped the return on these projects. A number of other factors continue to have to happen. Access to more affordable finance in these projects. It would be very helpfully to make these thing work. Approving timelines for approvals and approving the amount of density we can achieve, all things that the industry has talked about before. All thing that require several levels of the government to work together to solve the housing crises. And all things that will improve our ability to deliver these projects, and the benefits of return to our shareholders. 
Matt Kornack: Okay. So it's fair to say that we shouldn't expect anything in the immediate term, but also you're going to continue along the lines of getting approvals for these sites and getting ready for when it makes sense from a capital allocation standpoint to invest in this platform. 
Jonathan Gitlin: And keep in mind too, Matt, that we're in the process of delivering a lot of units and we still have a lot of units that are currently in the ground. So it's not like we've abandoned multi-res. We are still very much active and growing our portfolio. So it's just, like I said, a slight pause in construction starts until there's a little more clarity on the expense side of the equation.  And as Andrew said, like there is a lot of uncertainty now when you start a project, of what the approval process will be and what kind of timeline that you are undertaking. So I think it's always good to get a little more clarity in that regard. 
Matt Kornack: And I think your existing portfolio showcases it, but I would assume for the stuff that you are delivering, I mean, rents have exceeded our expectation in a number of different markets, but they'd be coming ahead of pro forma as I'd expect, given when you started those projects. 
Jonathan Gitlin: Well, I think that's a byproduct of the fact that our multi-res units are brand new. They are highly amenitized. They are part of RioCan properties, meaning they've got great retail at great or right around it. And so we are seeing a very good rental market, but that's also a byproduct of the fact that there's limited supply.  So yes, we are doing very well on the revenue side. But it’s on the backs of a lot of hard work and I think it will set up infrastructure in RioCan. 
Matt Kornack: Awesome! Thanks, and looking forward to covering the name in more detail going forward. 
Jonathan Gitlin: Thanks, Matt. We're looking forward to having you. 
Operator: Thank you for your question. I'm showing no further questions at this time. I will now have to turn the conference back to President and CEO, Jonathan Gitlin.
Jonathan Gitlin: Okay. Well, thanks everyone for joining our call today, and we'll look forward to seeing and hearing from you all soon. All the best. 
Operator: That concludes the conference call. Thank you for your participation. You may now disconnect your lines.